Operator: Ladies and gentlemen, thank you for standing by. Welcome to PrairieSky Royalty Ltd announces their Annual and Fourth Quarter 2023 Financial Results. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would like now to turn the conference over to Andrew Phillips, President and Chief Executive Officer. Please go ahead.
Andrew Phillips: Thank you, operator, and good morning, everyone, and thank you for dialing into the PrairieSky year-end conference call. On the call from PrairieSky are Pam Kazeil, CFO; Dan Bertram, CCO; Michael Murphy, VP Geosciences and Capital Markets as well as myself, Andrew Phillips. There are certain forward-looking information in my commentary today, so I would ask investors to review the forward-looking statements qualified in our press release and MD&A. As we approach our tenth year as a publicly traded company, our team continues to strive to improve our business over the next 10 years. The industry-leading organic growth rates in our liquids portfolio are the result of assets acquired years ago. 2023 was another great year on multiple levels. Organic oil growth was approximately 6% and the 4.5 million barrels of produced royalty oil were organically replaced by drilling. Of note, our $14 million fee title acquisition, which closed near year-end was not included in the 2023 reserve report. During the quarter, there were 197 wells spud on our lands, bringing total wells spud to 804 wells in 2023. This included 147 Clearwater wells, 139 Manville heavy oil wells and 236 Viking wells. We also saw our first helium well drilled in our acreage. We estimate that $2 billion of growth capital and $112 million of net capital spent on PrairieSky Royalty Lands in 2023. Based on an estimated $26.7 billion of growth capital on conventional oil and gas assets spent in 2023, approximately 7.5% of industry capital was spent on PrairieSky lands. Net capital increased 38% year-over-year, although this is partially inflation related. The increase led to PrairieSky's strong royalty production growth. Leasing activity remains at high levels. Throughout the year, we entered into 202 new leasing arrangements with 110 separate counterparties. This resulted in $26 million in bonus consideration over 2023 and $11.2 million in Q4. Leasing activity was strong across the basin, primarily for oil targets. Strong recent well data and lower costs have resulted in stronger producer interest in the Duvernay Shale, and we expect light oil growth from this play over the next 10 years. The mode around our business is our irreplicable fee mineral title land base. We also have seen stronger interest in viewing our large seismic database as operators are conducting exploration to expand their drilling inventory. PrairieSky controls 54,200 linear kilometers of 2D seismic and 20,100 square kilometers of 3D seismic. Our seismic data is continually improving as we receive a copy when a producer reprocesses the data. This data is available to the third-party leasing our lands, and we also use it to develop prospects for industry, which we can then lease. Our compliance group who are always busy returned land to inventory and brought in $6.6 million throughout 2023. As we look into 2024, our team will continue to focus on controlling costs, compliance, leasing our large undeveloped land base and executing on high return acquisitions. We are pleased to announce a 4% increase to our annual dividend, bringing it to $1 per share and $0.25 per share quarterly. This increase is effective for the March 29, 2024 record date. We'll use excess cash flow above the dividend to retire bank debt and execute on high return on invested capital acquisition opportunities, if available. I'd like to thank our staff for the continued hard work and our shareholders for their support. I'll now turn the call over to Pam to walk through the financials.
Pam Kazeil : Thank you, Andrew. Good morning, everyone. As Andrew mentioned, there's certain forward-looking information in the notes today, so I would remind investors to review our forward-looking statements qualified in our press release and MD&A for Q4 and the year ended December 31, 2023. PrairieSky had a strong Q4, which closed out another year of organic oil royalty production growth and momentum in leasing activity. PrairieSky's Q4 royalty production averaged 25,608 BOE per day and included a record 12,844 barrels per day of oil, 6% higher than Q4 of 2022. NGL royalty volumes averaged 2,697 barrels per day, flat with Q4 2022 and natural gas royalty volumes averaged 60.4 million a day, down 9% from Q4 2022. Annually, royalty production averaged 24,857 BOE per day with a record oil royalty volumes of 12,438 barrels per day, an increase of 6% year-over-year with growth primarily in the Clearwater and Manville Heavy Oil plays. PrairieSky's Q4 royalty production revenue totaled $122 million, generated 90% from liquids royalty volumes. Annually, royalty production revenue totaled $474.6 million, 88% from liquids. In 2023, realized oil pricing of $82.52 per barrel was 82% of Edmonton Par and NGL realized pricing up $47.60 per barrel was 47% of Edmonton Par pricing. We anticipate 2024 price realizations to be in line with 2023. Realized natural gas pricing was $2.60 per Mcf, with approximately 90% of our volumes sold at monthly and daily AECO pricing and approximately 10% being sold at [indiscernible] pricing. Other revenue totaled $14.6 million in the quarter and included $11.4 million of bonus consideration. This brought annual bonus consideration to $26 million and total other revenues to $38.6 million, the highest total since 2017. PrairieSky is forecasting other revenue in the range of $25 million to $30 million in 2024, including lease rentals, bonus consideration and other revenue. Compliance recoveries will be incremental to this amount and included in royalty revenue. Looking forward, PrairieSky's 2024 annual pricing sensitivities, which are all net of taxes are as follows. A $5 per barrel change in U.S. dollar WTI would increase or decrease funds from operations approximately $22.5 million, a $0.25 per Mcf change in AECO would increase or decrease funds from operations approximately $4 million, a $0.01 change in the U.S. to Canadian FX rate would increase or decrease funds from operations approximately $4 million, and the WCS oil differential moved by $1, we would see an increase or decrease in funds from operations of approximately $2.5 million. This impact would be the same for a $1 move in the MSW differential. Cash administrative expenses totaled $5.1 million or $2.14 per BOE in the quarter. We expect 2024 cash administrative expense to be in the range of $35 million to $40 million due to strong stock performance impacting share-based compensation. Current income tax expense totaled $14.4 million in Q4, bringing 2023 current tax to $58.8 million. Entering 2024, PrairieSky has $1.4 billion of tax pools to offset future taxable income, which is primarily deductible at 10% per year. For 2024, that means the first $140 million of pre-tax cash flow is tax free, with the incremental cash flow tax at 23.6%. During the quarter, PrairieSky's funds from operations totaled $111.1 million and we declared dividends of $57.3 million or $0.24 per share with the resulting payout ratio of 52%. Annually, PrairieSky generated $382.5 million in funds from operations, which were used to fund dividends of $229.2 million with remaining cash flow used primarily to reduce PrairieSky's bank debt. At December 31, 2023, PrairieSky's net debt totaled $222.1 million, a decrease of 30% from December 31, 2022. Once again, in 2024, PrairieSky will receive the full pricing reduction related to our sustainable credit facility based on the evaluation by third-party rating agency Sustainalytics, which included PrairieSky in its list of the Global 50 Top Rated ESG Companies for 2024. We will now turn it over to the moderator to proceed with the Q&A.
Operator: [Operator Instructions] The first question comes from Michael Dunn with Stifel.
Michael Dunn : Just looking at your second half spuds on your lands folks more Manville and less Viking then, if we look to the second half of 2022, just noticing from your reserves disclosures. Of your oil production in 2023, it looks like it was about 52% light, 48% heavy bitumen, kind of the same split as in 2022. How do you think the second half activity from 2023 plays out, I guess, into your heavy versus light split into 2024? Maybe any thoughts on the absolute level of oil production in the first half of this year, I guess, relative to Q4?
Andrew Phillips: I'd hate to speculate on the actual levels of production in the first half of the year. We do expect some growth over the year again with the strong leasing activity and the strong drilling activity we've seen. And then as it ties to the reserves, I do think you're going to see the bitumen reserves go above 50%. I think there's been -- 2023 was a year of multiple discoveries. There was over nine different horizons within the Mandeville stack that were proved commercial. But of course, because we just booked the one individual well, in our reserve report and probably conservatively given their new wells, it didn't add a huge amount of new barrels from a reserve standpoint, but I do think as people start to develop those, which we're already seeing today, there's quite a few rigs running around the Cold Lake region and we should see a significant uptick in those reserves over 2024.
Michael Dunn : And then just secondly there looking at your year-end reserves, your oil reserves were both flat year-over-year and of course, they're all developed reserves, but your Q4 oil production was up close to 6% year-over-year. Is that implying a little bit shorter PD like a developed reserve life or is it just exit volumes were lower than the Q4 average? Or how should we think about the, I guess, the lack of oil reserves growth?
Andrew Phillips: Yes, that's interesting. I think the flat was a pretty good result for us, replacing every barrel that was produced without making any PDP acquisitions. I think one of the things that we saw this year was, just from an inflation standpoint on the operating cost and the tail of the wells were truncated. So again, if people can get their operating cost down in future years, you can see that come back. Again, we do believe a lot of those do have long RLIs or reserve life indexes, but I think there was some truncation based on inflation and operating costs on the tail end of the wells. Otherwise, we would have seen growth there. But again, it's always a good result when you don't spend money on any PDP acquisitions and you replace every barrel you produce, which generates them, right now, over 90% of our cash flow.
Operator: The next question comes from Adam Schwartz with Black Bear Value Partners.
Adam Schwartz: First, a shareholder, thank you for your quality stewardship of the company. We appreciate it. Curious if you can comment on where share buybacks fit into your plan. And when you look at the acquisitions potential M&A, are they more attractive than the stock or the same or how you think about that? Because today, it seems like the stock prices in a pretty benign energy price environment and virtually no value for any kind of volume growth or call options that you guys call out in your presentations, which I think are real? And over the long haul, the intrinsic value per share could compound at even higher rates than you've been experiencing that you use this tool. So I'm just curious buybacks aren't always a good idea, but when the stock is really cheaper and including fairly bearish, not benign assumptions, if you're positive on the outlook on things could be a pretty helpful value-add action. So just if you can comment on that, I'd appreciate it. Thank you.
Andrew Phillips: Yes. Good morning, Adam, and thanks for the question. And we do see tremendous value in the shares right now. And I will say that, when looking at any acquisitions, the hurdle rate is quite a bit higher, just given the value we do see in the shares. And I do think it is a unique compounding business over time, generates a lot of cash. We've kind of refreshed our 10-year budget. And you generate almost your entire market cap and free cash flow net of tax, net of G&A and have a business that's likely bigger at the end of that period. So, we do see great value in the shares right now. We always trade below intrinsic value. So, I think, but our priority right now is retiring the debt and any acquisitions that we enter into, the IRR hurdles have to be quite a bit higher. So again, it's definitely a higher hurdle rate right now. But the retirement of the debt is definitely our number one priority right now. Interest rates are again in a pretty high historical level based on the last 15 years anyway. And we'd like to have the optionality of having all the debt retired. So hopefully that helps answer your question, but we definitely do see value in the buybacks. We do have a buyback in place that we could execute on at any time. And I think it will be part of the capital return over the next 3, 5 and 10 years as part of the returns to our shareholders.
Adam Schwartz: That's helpful. I would say, just as far as the comment, it's great for it to be a tool to use if the stock is cheap. If it's not, then done. But clearly, it stays around here or even meaningfully higher. It still seems very attractive given the prospect. So, thank you for everything you guys do. You're doing a great job.
Andrew Phillips: Appreciate the question and thanks for the comments.
Operator: The next question comes from Jamie Kubik with CIBC.
Jamie Kubik: I've got two here for you. I'm hoping you can talk a little bit more about the bonus revenue in the quarter and expand a little bit on it. As you know, it was the highest since you've or since 2017. And Pam, your comments indicate that other revenues in 2024 be between $25 million to $30 million. But I'm wondering, is there more to do on the bonus side as it relates to the Duvernay, and can you expand a little bit more on that side?
Andrew Phillips: Yes, you bet. So the bigger leasing arrangements that we entered into in Q4 were West Shale Basin arrangements, Jamie. And I think that's where we've seen recently a fair bit of activity. One intermediate producer had plans for very significant growth in the area. And I think just with cost coming down and kind of the net being cracked in terms of the technical application of fracking. And we're seeing some very good well results and wells that likely are well over 500,000 barrels on an individual well. So again pretty good results and costs are getting figured out. So I think that's where the majority of the bonus was for last year, particularly Q4. And then what we're seeing is similar thing happening in the East Shale Basin in both the Westerdale Embayment and the Ghost Pine Embayment, where some improvements have really change the EURs there per well and costs have come down there as well. So I do expect some leasing arrangements centered into there as well this year. Just don't know the exact timing of it. And as a refresher, the stuff in the West Shale Basin, there's 200,000 acres that we had leased to Encana now even of upon the IPO that had eight years till expiry. And again, so we finally have received all that land back and now entering into lease arrangements with well capitalized producers. But what we're more excited about rather than lease bonus is that it's very significant individual well events and we do see a huge amount of resource there. It's very thick shale. And it will really complement -- we kind of have pretty good visibility into our growth on the heavy oil portfolio both in terms the Mandeville stack and the Clearwater. But this will complement that growth with some light oil, which is 40 degree API oil and then a lot of liquids rich solution gas. So likely over the next 10 years, the proportion of solution gas goes over a third or significantly over a third of our total gas volumes. So again, some positive there, we're definitely excited about the play. But I do think there will be some more leasing arrangements, but probably not of that size.
Jamie Kubik: Other question is, PrairieSky did acquire 22 million properties in the quarter. You outlined a little bit between the Manville stack and Central Alberta as being the areas that you acquired. Can you break apart a little bit further what was acquired in the quarter? What has you excited on that side? And can you talk about what the types of opportunities are that are coming across your desk these days?
Andrew Phillips: Yes, you bet. There are a few royalty packages out there. And as we said with the previous from Adam, the hurdle rates are definitely high right now for us as a company. The $14 million acquisition which was mostly fee mineral title and also handful, of course, that was in Southeastern Alberta. So we see both Manville and Viking potential there. We've actually already entered into a lease two days after closing that acquisition, which could have the potential to grow that asset in the double-digits. And again, it was a really good IRR even on just the PDP. So that's fee mineral title acquisition, that's the last of the old Apache fee mineral title left in Canada, so 8 to 26 is primarily. And then the $8 million was spent on six different private operators to acquire 15-year oil sands leases in the Manville stack. So we're expecting some drilling to test those opportunities over the next year.
Operator: I show no further questions at this time. I would now like to turn the call back to Andrew for closing remarks.
Andrew Phillips: Thank you, again, everyone for dialing into the PrairieSky conference call and hope everyone has a great rest of the week.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Have a great day.